Operator: Ladies and gentlemen, greetings, and welcome to the Weave First Quarter 2025 Financial Results. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce our host, Mark McReynolds, Head of Investor Relations. Please go ahead.
Mark McReynolds: Thank you, Zeco. Good afternoon, and welcome to Weave's first quarter 2025 earnings call. With me on today's call are Brett White, CEO; and Jason Christiansen, CFO. During the course of this conference call, we will make forward-looking statements regarding the anticipated performance of our business. These forward-looking statements are based on management's current views and expectations entail certain assumptions made as of today's date and are subject to various risks and uncertainties as described in our SEC filings. We've disclaimed any obligation to update or revise any forward-looking statements. Further, on today's call, we will discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results. Unless otherwise noted, all numbers we talk about today will be on a non-GAAP basis. A reconciliation to comparable GAAP metrics can be found in today's earnings release, which is available on our website and as an exhibit to the Form 8-K furnished with the SEC before this call, as well as the Earnings Presentation on our Investor Relations website at investors.getweave.com. And with that, I will now turn the call over to Brett.
Brett White: Thank you, Mark, and thanks to everyone joining us today. Before I get to our Q1 financial and business highlights, I'm excited to share that we have signed a definitive agreement to acquire TrueLark, an agentic AI-powered receptionist and front-desk automation platform. Together, we will unlock a future of intelligent autonomous workflows that reshape how healthcare practices operate, drive growth, connect with patients and thrive. Before diving into more detail about TrueLark, I'd like to briefly introduce Weave to those of you who may be new to our story. Weave is a patient engagement and payments platform built for small-and-medium sized healthcare practices. Our customers are skilled medical professionals, experts in healthcare, not business. Yet to succeed, they must attract new patients and sustain growth in increasingly competitive markets, retain the patients they already have with effective communication and improved in office interactions, create a workplace that attracts and retains talent amidst staffing shortages, and oversee operations and the financial health of their business. Practices are often left managing a fragmented mix of tools, with limited IT resources, making it hard to streamline operations or scale effectively. This technology sprawl creates friction, slows growth and pulls focus away from what matters most, caring for their patients. We've unified communication, scheduling, payments and reviews into a single easy-to-use platform. Built to scale from single-location practices to large multi-location groups, Weave offered centralized management, robust analytics and authorized integrations with over 85 practice management systems. Our proprietary VoIP platform lets teams communicate from anywhere with the practice's trusted phone number. We've also embedded payment requests into communication workflows, which accelerates cash collections and improves treatment plan acceptance with flexible payment options. We are focused on dental, optometry, veterinary and specialty medical practices, which is a high value segment of the SMB market. The addition of TrueLark expands our addressable market to over $10 billion in the U.S. alone. SMB healthcare practices face rapidly evolving demands, from rising patient volumes to growing expectations for fast seamless digital experiences. In this environment, workflow automation is essential. Successful practices will adopt technologies built for modern care. Those technologies will enable 24x7 appointment booking and automated administrative tasks to free up time for staff and providers. This future centers patient care on meaningful interactions with routine operations running smoothly in the background. TrueLark is a virtual receptionist that enables fully autonomous patient engagement. It responds to missed calls, manages real time scheduling and answers common questions via text and web chat 24x7. TrueLark provides an automated solution to boost lead conversion when calls are missed even after office hours. The result is fuller schedules, round the clock patient engagement, improved case acceptance and less time spent on the phone, which drives greater practice profitability. The acquisition of TrueLark will unite two companies with a shared mission, helping SMB healthcare providers run more efficient practices while delivering exceptional patient care. Our journey with TrueLark began as a partnership and the opportunity for something greater became clear as we work closely together. We were immediately impressed by their leadership and the passion that their customers, including those shared with Weave, have for their platform. What drove our interest and ultimately the acquisition is the meaningful progress that they have made with appointment based single and multi-location SMBs over the last four years. TrueLark delivers measurable economic value to its customers, particularly in multi-location dental and MedSpa segments, where it has already achieved strong product market fit. We are acquiring TrueLark because of the strategic fit in our product roadmap with the complementary aspects of our business. I'd like to highlight some key points of the acquisition thesis: First, while we've helped staff work more efficiently, TrueLark fully automates routine tasks around the clock without human intervention. TrueLark shifts front desk focus from administrative tasks to higher impact patient-centered engagement. Second, TrueLark unlocks additional multi-location product functionality and expands our mid-market customer base. Third, we're gaining a team of AI experts with deep SMB healthcare experience. The acquisition will immediately accelerate our product roadmap and increase our pace of innovation, keeping us ahead of market needs. TrueLark also presents a compelling cross-sell opportunity within Weave's existing customer base. Their technology is extensible to all verticals we serve and scales effectively across customers of all sizes. With the strength of our go-to-market engine, we see significant upside in expanding TrueLark's reach across our business. Ultimately this is a strategic acquisition that enhances our platform, accelerates our roadmap, expands our market opportunity and strengthens our ability to win. In addition to the experienced leadership joining Weave from TrueLark, we're also thrilled to welcome Abhi Sharma as our new Senior Vice President of Engineering. Abhi brings deep expertise in building and scaling high-performing engineering teams and delivering AI-driven innovation. His career includes leadership roles at Salesforce, Oracle, Amazon and Microsoft. And most recently, he led R&D for Twilio's $4 billion communications business, scaling infrastructure to support hundreds of millions of messages annually, while pioneering AI-powered omni-channel experiences. Under his leadership, we are accelerating our vision to deliver an intelligent automated platform, purpose-built for the future of healthcare. Next, I'd like to share an update on our quarterly performance and the momentum we see across the business. We delivered a strong start to the year and continue to make meaningful progress across our key growth vectors. We had strong demand in Specialty Medical, continued progress in mid-market and solid performance in our payments business. Q1 revenue grew 18% year-over-year marking the 13th consecutive quarter of exceeding our guidance. Our gross margin came in just above 72%, a 170 basis point improvement year-over-year reflecting strong underlying unit economics and operational efficiency. We had a record quarter for sales across our Medical segment, driven by especially strong performance in MedSpa and Plastic Surgery with continued momentum in primary care and physical therapy. Our reach and product value continue to expand through authorized integrations with key medical systems of record. In Q1, we launched three new integrations, Prompt, Practice Fusion and Veradigm, which increased our integrated market by approximately 60,000 locations. We've already seen an increase in new sales to practices using these platforms, with new deals and upgrades from Prompt customers in Q1 outpacing all of full year 2024 combined. Our previously announced integrations in specialty medical are playing a meaningful role in accelerating our expansion across specialty medical verticals. Finally, Weave continued to be recognized for our commitment to delivering exceptional customer experiences and the strong performance of both our team and our platform. We've ranked in the Top 50 on G2's 2025 Best Software Awards. In G2's spring 2025 report, we've ranked first in 33 categories and was again named leader in the grid for patient relationship management. In closing, I'm extremely proud of what the Weave team accomplished this quarter, another quarter of solid growth driven by focused execution and innovation. As more customers look to streamline their front office workflows and deepen patient engagement, Weave is delivering real measurable value. I also want to warmly welcome the TrueLark team to Weave. As I reflect on our momentum, I'm more energized than ever about the road ahead and confident in our ability to continue to scale. Thank you to our customers, partners, team and shareholders for your continued trust and support. With that, I'll turn it over to Jason.
Jason Christiansen: Thanks, Brett, and good afternoon, everyone. I'm pleased to join you today and look forward to connecting with many of you in the quarters ahead, as we continue building strong relationships across the investor community. I'll start by discussing our acquisition of TrueLark and provide additional color, on how it fits into our long-term financial picture. Weave acquired TrueLark for $35 million comprising $25 million in cash and $10 million in equity, and we will be filing a registration statement with the SEC to register the shares issued as part of the consideration. In addition to the purchase consideration, we have established performance based equity awards tied to revenue milestones for the next two years. We anticipate the transaction will close in Q2. I'm genuinely excited about what TrueLark brings to Weave, including a powerful AI native platform, a team with deep technical expertise and compelling customer validation, especially among larger multi-location healthcare organizations. TrueLark is a high growth business that is making significant progress with dental service organizations. The TrueLark team has been very scrappy with minimal go-to-market investment. As part of our integration strategy, we see a meaningful opportunity to extend TrueLark's reach in the single location and small group practices by leveraging our go to market engine. Additionally, we see an opportunity to expand the markets pay service and this puts another arrow in the quiver of our mid-market sales reps. We'll be making targeted investments across two key areas. The first is in R&D, which will be used to build additional TrueLark integrations with practice management systems, and to integrate with Weave. The second is in sales and marketing, which will increase awareness, drive demand and accelerate customer acquisition. Even with these additional investments, we anticipate TrueLark to be accretive to the bottom-line in 2026. I'm excited to welcome the TrueLark team to Weave. People and culture are critical to any successful acquisition and we believe there's strong alignment on both fronts. Together, we share a clear vision for the future of intelligent automation and healthcare, and we're confident that the combination of TrueLark's proven technology and Weave's go-to-market strength will unlock lasting value for our customers and shareholders. Shifting to Q1 results, we're off to a solid start in 2025 with steady execution across our go-to-market teams and continued strong performance in specialty medical mid-market and payments. In our previous earnings call, we outlined the key growth factors we're prioritizing and investing in. In 2024, we leveraged existing resources to test our ability to win in each of these initiatives. The investments we are making in 2025 are all relatively small in the form of dedicated resources to focus on new avenues for growth. We opened the year with Q1 revenue of $55.8 million, which exceeds the midpoint of our February guidance by $1.3 million and represents 18.3% year-over-year growth. Growth was broad-based led primarily by continued strength in new customer acquisition and payments revenue. The fastest growing segment of new customer acquisition continues to be in the Specialty Medical vertical. Specialty Medical growth again outpaced all other verticals, as we set a new record for the number of medical locations added in one quarter. In Q1, we made steady progress in accelerating revenue growth within our mid-market segment. With our core team now in place, we've been focused on building pipeline. One highlight was securing a strategic win with the tech-forward dental organization with 30 locations brought in through a referral from our partner marketplace demonstrating the growing strength of our ecosystem. As Brett mentioned, payment remains a strong growth driver, growing at more than twice the rate of total revenue and continuing to be accretive to the business. Retention metrics held steady this quarter with NRR at 98%, and GRR at 91%, consistent with last quarter and our historical range. This reflects strong contributions from the adoption of our payments platform and highlights the durability of our customer relationships. Let's now turn to our non-GAAP operating results, which include one-time -- which exclude one-time acquisition related costs tied to the TrueLark acquisition and stock-based compensation. Gross profit improved to $40.2 million in Q1, up over $7 million or 21% year-over-year and up $900,000 quarter-over-quarter. Gross margin was 72.1%, an improvement of 170 basis points year-over-year. We saw 50 basis points sequential decline in Q1 gross margin, driven by partner integrations and elevated seasonality in our variable costs, as customers usage of the platform increased significantly. Many of our customer locations had limited operations during the final two weeks of December, which led to a sharp rebound in messaging and call volumes and the associated costs in early Q1, as practices increased their usage of our platform to reengage with patients. Sales and marketing expenses totaled $21.7 million or 39% of revenue. Sequentially, sales and marketing expenses increased due to the Q1 seasonality from the reset of payroll tax limits and benefits renewals taking effect and from the addition of sales reps to support our 2025 growth initiatives in mid-market partnerships and specialty medical. Research and development expenses were $8.8 million or 16% of revenue. We continue investing in solutions and practice management integrations that streamline and automate customer workflows, which we anticipate to unlock monetization opportunities over time. General and administrative expenses were $9.7 million or 17% of revenue, an improvement year-over-year from 18% in Q1 2024. General and administrative expenses increased sequentially for the same seasonal factors outlined above. Additionally, we incurred and will continue to incur higher audit and compliance fees, as discussed in our previous earnings call, as we prepare for our first year of needing to comply with Section 404 of the Sarbanes-Oxley Act. Operating income for Q1 was $39,000. This is $240,000 higher than the midpoint of our guidance and an improvement of $1.4 million year-over-year. Adjusted EBITDA for Q1 was $1 million, improving by $1.4 million year-over-year due to the revenue growth and operating efficiencies. Our capital position remained largely unchanged for Q1 and we ended the quarter with $98.2 million in cash and short-term investments. Upon closing, we will use $25 million of cash for the acquisition of TrueLark. Cash used in operations was $200,000 and free cash flow was negative $1.1 million consistent with our expectations. As noted last quarter, Q1 cash outflows are elevated due to the timing of our annual employee bonus payout. Before moving on to our outlook, I want to briefly address recent developments in trade policy and tariffs. We have proactively managed our hardware stock and are well-positioned to navigate trade barriers and mitigate the effects of potential tariffs in the near-term. Turning now to our outlook. As discussed in our February earnings call, Q2 represents our toughest year-over-year revenue comparison of 2025, as we lap the effect of a price adjustment in Q2 2024. We do not anticipate price adjustments this year to be as significant as those made in 2024. Excluding the effect of pricing adjustments and TrueLark, we continue to expect core business growth in 2025 to outpace 2024. For the second quarter of 2025, we expect total revenue to be in the range of $57.3 million to $58.3 million. We anticipate TrueLark to close in Q2. Accordingly, our guidance for the quarter only includes a small amount of TrueLark revenue. We expect non-GAAP operating loss to be in the range of $1 million to breakeven, which includes TrueLark expenses and the additional R&D and go-to-market expenses associated with this acquisition outlined above. As a reminder, employee annual employee merit increases go into effect at the start of Q2. We are raising our full year revenue guidance to be in the range of $236.8 million to $239.8 million, which includes an estimate of approximately $2.5 million of TrueLark revenue in 2025. Excluding the impact of TrueLark, this represents a raise to our full year revenue guidance for our core business. We expect non-GAAP operating income to be in the range of breakeven to $3 million for the year. The decrease in our operating income guidance is a direct result of incorporating the TrueLark investments. Transaction related costs related to the acquisition are excluded from our quarterly and annual operating profitability guidance. We expect to have a weighted average share count of approximately 76.5 million shares for the full year, which includes the effects of the TrueLark equity consideration. In closing, Q1 reflects a good start to the year with continued progress across our key priorities. The acquisition of TrueLark marks a strategic step forward in advancing platform, deepening our product differentiation and expanding our reach into intelligent front office automation. As we progress throughout 2025, we remain focused on revenue growth, driving operational efficiency and maintaining positive free cash flow. We appreciate your continued support and look forward to meeting with as many of you as possible in in the coming months. And now we'll turn the call over to the operator for Q&A.
Operator: [Operator Instructions] The first question comes from Alex Sklar with Raymond James.
Alex Sklar: Great. Thank you. Brett, maybe first one for you on TrueLark, a couple of parts to this question. But can you talk about how incremental that is to your existing bundles? I think I heard $10 billion TAM makes me think it's barely incremental there. Is there any existing customers already using it that kind of help you see the value prop there? And then what's kind of the cross-sell opportunity that TrueLark customer base that you don't have today?
Brett White: Sure. So, we do have joint customers, which is one of the things that really excited us about it because we could really get a deep understanding of the value of the product. And the customers view this as a revenue driver that, it brings in, it automates the appointment booking and it helps with marketing and lead gen and follow-up on lead conversion, both when the office is open because significant number of calls into the practice go unanswered during the day. They leave voicemails and then there's follow-up where TrueLark can actually handle what they need to get done during the office. But it also does booking after hours. So, I think one of our favorite quotes from our due diligence was when we were talking to a joint customer, a very large DSO, and they said, well, if I went if there was some sort of calamitous economic situation and I went through my software spend, this would be the last software that I would cut because it absolutely brings them revenue. So, it's a very complementary, but incremental piece to our solution. So, we're just thrilled with how well it fits. And then the second on the cross-sell, so, TrueLark is a scrappy startup company and just they focus primarily on selling to large DSOs because they had to get -- they had to make the go to market investment work. So they sold primarily DSOs. They have very few single locations, which is the majority of our customers. So there is a terrific cross sell opportunity for us to bring this product to a market economically. And so, some of the investments we're making is frankly adding onboarding team members and adding sales resources to our upsell team so we can bring this product and totally incremental value to our customer base.
Alex Sklar: Okay. Great color there. And then Jason, maybe a follow-up for you. You talked about, the record specialty medical quarter and the growth this year ex TrueLark and pricing expected to be up versus 2024. Are you already seeing that through Q1? I know we don't get location counts every quarter, but is that something you're already seeing there? Is that more so based on some of the hiring plans you have driving faster growth in the back half of the year? Where are we to date on that target?
Jason Christiansen: Yes. Thanks, Alex. We had a strong Q1. On the medical side, it was a really great quarter. As Brett mentioned, this performed across several different specialties, largely driven by continued improvement in the integrations, as we continue to add integrations in that medical space. In terms of the overall growth, we continue to anticipate that, as we add the sales capacity and as those investments that we've talked about will continue to land that we anticipate seeing more improvements in the back half of the year.
Operator: The next question comes from Brent Bracelin with Piper Sandler.
Brent Bracelin: Thank you. Good afternoon. Brett, following up here on TrueLark, as you think about the monetization pricing opportunity, maybe walk through how is the product priced today, if it is driving kind of ROI, is it on a subscription basis, is it a consumption or transactional kind of pricing model. Walk us through a little bit more around pricing as we think about taking that and cross selling into the installed base?
Brett White: Yes. Thanks Brent. I'll take that one. Today, they're largely sold on a per location basis or on a per contract basis. And we think that there's an opportunity to evaluate that, especially as we look at new workflows, how that integrates into our customer base and integrates in with our product. And we to maybe put some context to the opportunity that we see and how that fits in with our overall pricing strategy. The TAM -- the shift in TAM previously we reported our U.S. TAM at $7.1 billion. And today we announced that with the acquisition of TrueLark that U. S. based TAM is about $10 billion.
Jason Christiansen: Yes. Just a couple of things. So Brent to answer the question, they are subscription contracts. Another thing that was very attractive to us is customers generally will run a pilot, and then they'll sign an annual or even multi-year contracts. So customers are pretty confident with the ROI, when they sign up for the product. And another -- Jason mentioned the TAM, another thing that's very interesting is we've actually gotten interest when TrueLark was just a partner, we got interest internationally from bringing this type of solution to market outside the U.S. So I think that there's additional opportunity there that we're pretty excited about.
Brent Bracelin: Congrats on the first build buy kind of decision accelerating the roadmap, certainly interesting. My last question is just around maybe the pipeline, the activity around new business. Obviously, the world is changing. There's a lot of dynamics out there that small businesses are nervous about. Walk us through how resilient the pipeline has been so far for you guys, as you think about going into April here, early May, what are you seeing from a pipeline build perspective?
Brett White: Yes. Now, I'm going to knock on my wooden table here. Fortunately, our market, and our products have been quite resilient to economic challenges, and we certainly have not seen a degradation in what I would call our leading indicators, lead flow, inbound interest, pipeline, that -- We have a relatively short sales cycle, so really the big pipeline build comes in multi-location space, and that's growing. But what's really exciting is by bringing, TrueLark into the product portfolio, we can start, we can lead with an absolutely proven out revenue generation positive ROI product and get the customer started on that, if they just want to start there. We have the revenue generation and efficiency tool that Weave has always had plus we have this new revenue generation efficiency tool through TrueLark. So, I think it really helps, our pitch and our market space. And it's just so easy to prove the ROI that, we're quite excited and really haven't seen any type of degradation, I would say, on the pipeline or on the macro side.
Operator: The next question comes from Parker Lane with Stifel.
Parker Lane: Hi, guys. Thanks for taking the question. Sticking here with TrueLark. Brett, when you guys did the diligence process here, I was just wondering if you could comment on what you saw from a competitive standpoint, how early you feel like we are in this agentic AI opportunity for the types of businesses you work with and if there's any other companies out there that are really attempting to do this or if this is a situation where you found yourself at the front of the line?
Brett White: Yes. So we've been looking at this for a while. We've got a pretty clear three year vision on what our product roadmap looks like and what our solution set should be and could be. So we've been looking at these types of businesses. I think we've probably looked pretty deep at 20 or more. And the thing that really struck us about the TrueLark business is just the fact that, it worked so well. The customers were really positive on the ROI. They have a very nice customer list of large organizations, DSOs. And so, with multi-year contracts and these contracts scale over time and it's just a proven solution. It just works. It gets the job done. And so, that's the most impressive part for us, was the customer base and the fact that, they raved about it and it actually solves the problem. There are lots of, I would say, companies, products out there, that are really cool looking, but they just didn't have the traction and the footprint and the established pattern of success that TrueLark had. So, we're very excited about what we've got here. And the other thing I think that was quite exciting for us on a competitive front of the 20 plus companies that we looked at was the leadership team. These are very, very experienced AI folks going back to ML learning researchers from Microsoft and so they've got a long period of time. They've got a lot of learnings in the industry that we're in. You can always spin up a product and put it on top of ChatGPT and make it look good. But, solving real customer problems because you just -- when it comes to booking, you just can't get it wrong. And so, having their deep experience, having them learn the hard way about how these businesses work, was incredibly and is incredibly valuable to us.
Parker Lane: Got it. Thanks for the feedback there. And just a follow-up on the customer relationships they already have. You mentioned that, this could be applicable to all the different sub-verticals you work with longer-term. It sounds like maybe dental is where they've gotten some of the bigger customer relationships. But I also see beauty and wellness and fitness on their website. Is there potentially an opportunity for you to go deeper with some of those sub-verticals that they have brought to the table that you don't currently address?
Brett White: Yes, absolutely. So they've done real well in MedSpa. And MedSpa is -- we've had we have had a couple of great quarters in MedSpa as well. So we consider MedSpa specialty medical. They've done well there. They're in dental, but you're right. They also have had fitness. Basically, their footprint works really well in appointment based businesses, both single location and multi-location, which is where our platform works well as well. So I could definitely see us taking Weave, our kind of our Weave quarter platform into verticals where they currently are through their TrueLark relationships.
Operator: The next question comes from Michael Funk with Bank of America.
Michael Funk: Yes. Thank you for the questions tonight. So you mentioned in ordering a script, success you've seen in specialty medical, MedSpa and plastic surgery. Can you just emphasize, which verticals you've seen the greatest penetration in over time? I know originally Dental was one you're very early success with. So where are we in penetration of the verticals? And then related question, which of the verticals do you think is most economically sensitive? So based on your macro viewpoint, which ones would be most affected by a either macro downturn or improvement?
Jason Christiansen: Yes. Thank you for the question. Overall, we are less than 15% penetrated in all of the verticals that we service. Even back to our S-1 when we IPO, we indicated that optometry is where we were probably the most saturated. If you think about length of time in the different markets. Dental, we've been in for longer. Those two would be our highest market saturation, but there's still plenty of room in each of those markets for us to grow. And to the question of sensitivity, I think, that's wherever there's markets with discretionary spend. And so, when you think about the businesses that have more luxury tags to them, or elective elements to them, those are the areas that we see can have some struggles. Now the fortunate thing is the vast majority of the businesses that we're in, the vast majority of our customers are not really that elective and where our existing installed base is. So fortunately, we're not seeing a lot of headwind at this point, or really any headwind associated with the macro. But if we were to see it, it would be in those elective areas.
Brett White: Yes. So, maybe, you know, I think as Jason said, dental would be our most penetrated. I think we're just north of 10% there. Specialty medical, we're still what sub 1%. That is a really, really big space. And although we've got a lot of growth there, we're still very early stages when it comes to penetration. I think it's like 22 or so sub-verticals in there. So we have tons of runway. But dental is the most penetrated and, especially medical is the least penetrated. I'm going to answer the other question a little bit backwards. What we have seen through multiple economic evolutions is that, the core space where we are in, dental, optometry, veterinary and then the specialty medical segments, where we're focused right now are actually have proven to be quite resilient. And a strange here's a strange fact. So I've been in, my prior role was in a wellness software company, and we thought that during the Great Recession and then during COVID that, the pullback would happen in the places, where they had big ticket items and it was most discretionary. So cosmetics, plastics, and it turns out, when times get tough, people still spend money on that stuff. So, I'm not really concerned about some of the mere fact that, something is optional, a service is optional, is necessarily an outsized risk to the business because, when folks lose their jobs, they may give up on the Caribbean vacation, but they're not going to give up on some of their other elective, activities. So, that would that would be my answer.
Michael Funk: That's great. Thank you so much for all the color on that. And really quickly, one more if I could. So it seems you really dialed in the go-to-market, the last couple of years at least and, we're working very well. Are there further refinements or changes planned where you think that you can either bring down the customer acquisition cost or increase the velocity or gross ads going forward?
Brett White: The answer to both of those is, yes. So, I personally just don't believe that any part of our business cannot be improved. And that's really a mindset we have around here. So, our go-to-market leadership is always trying to figure out new ways to scale the business, new ways to reduce CAC, new ways to create additional leverage. And one of the things we've done recently is, we've stood up this mid-market team. We've got a -- we've totally -- we've changed the profile of the folks who are on that team and that's starting to see really good traction. We had a good quarter, in our mid-market segment in bookings. But, the answer is we're never satisfied. We're always, experimenting, trying new things. I'm really excited about what the TrueLark opportunity brings to us, because it really adds a new type of product that we can bring to our customers that solves a different type of problem that actually brings revenue into their business, and it can be sold into our installed base through, through our existing team. So it really just further, enhances or develops our opportunity to be a true trusted partner to our customers as opposed to just a software vendor.
Operator: Our next question comes from Mark Schappel with Loop Capital Markets.
Unidentified Analyst: Thank you for taking our questions. I guess my question is regarding the payment solution. Could you talk about the attach rate that you're seeing from that business and whether it's increasing meaningfully?
Brett White: Yes. So, up to this point, we haven't provided a breakout of our payments business, until we're required to. We won't do that. Now what I will share is that, we do continue to see increase in our attachment. It's still less than 10%. It makes up less than 10% of our revenue. And once we cross that threshold, we'll be able to provide more color and clarity. But, it continues to grow faster than overall revenue, and the attach rate continues to improve within our customer base. And there's still a lot of room for us to grow in that area. We look forward to the day when, we do cross the 10% threshold.
Jason Christiansen: I would just add, we are, I think, meaningfully underpenetrated relative to the opportunity we have. And we are all hands on deck on building the payments functionality into the communications workflow and then integrating that back into the various practice management software. And again, here's another place where TrueLark really helps us, because they also can automate payments transactions. So we're super excited about the opportunity. I think we mentioned -- we did mentioned our commentary that we had a very strong revenue growth quarter in Q1 in payments and we're just going to continue to be heads down on that.
Unidentified Analyst: Okay. Thank you. And I guess sticking on that, since you guys mentioned that, it's a relatively small part of percentage of revenue, I think you said below 10%. How high do you think that percentage can get, as you continue to execute on opportunity?
Jason Christiansen: Let me I think. I think it can be much, much, a much larger part of our business without question. I probably shouldn't say too much. But, we're definitely not even close to being anywhere satisfied with our current, percentage of revenue. And, you know, I think we can definitely get it well north of 10%, and, I think we have the opportunity to make it actually significant larger than that.
Operator: Thank you. As there are no further questions, I would now like to hand the conference over to Brett White, CEO, for closing remarks.
Brett White: Thank you all for joining the call, and thank you again to the Weave team, and welcome to the TrueLark team. Thank you.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.